Operator: Good day. And welcome to the DHI Group, Inc. First Quarter 2022 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Todd Kehrli. Please go ahead.
Todd Kehrli: Thank you, Operator. Good afternoon. And welcome to DHI Group’s fiscal 2022 first quarter earnings conference call. With me on today’s call are DHI’s CEO, Art Zeile; and Chief Financial Officer, Kevin Bostick. Before I turn the call over to Art, I’d like to cover a few quick items. This afternoon, DHI issued a press release announcing its Fiscal 2022 first quarter financial results. The release is available on the company’s website at dhigroupinc.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company’s website. I want to remind everyone that during today’s call management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information, statements on today’s call may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used, the words anticipate, believe, expect, intend, future and other similar expressions identify forward-looking statements. These forward-looking statements reflect DHI management’s current views concerning future events and financial performance, and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales, the adverse impact of, and uncertainties surrounding the COVID-19 pandemic, and other risks and uncertainties discussed in the company’s periodic reports on Form 10-K and 10-Q, and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, during today’s call management will be referring to specific financial measures including adjusted EBITDA, adjusted EBITDA margin and adjusted EBITDA -- adjusted earnings per share that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release and on our website at dhigroupinc.com, in the Investor Relations section. I’ll now turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone. And welcome to our fiscal 2022 first quarter earnings conference call. Thank you for joining us today. I’m happy to report that we again delivered outstanding financial results for the quarter, with total bookings growth of 32% year-over-year and total revenue growth of 29%, as more employers are using our subscription-based offering. As demand for technologists continues to grow at a rapid pace and the unemployment rate remains at an all time low, employers need our growing community of technologists and our sophisticated toolset to find, attract, engage and hire the highest quality tech professionals. During the first quarter, U.S. employers posted 1.1 million tech jobs, 43% more than a year earlier, according to information technology trade group, CompTIA. At the same time, Dice’s Proprietary Annual Salary Report, which we shared in January, indicated that average tech salaries increased 6.9% from 2020 to 2021. A recent McKinsey study gives some insight for these data points explain that, due to the pandemic, businesses have accelerated their digital efforts and technology initiatives by three years to four years. Furthermore, the report states that the pandemic had an even bigger impact on those companies focused specifically on digital products and portfolios, accelerating their plans by seven years. All of these activities require technologists to build platforms and products, maintain and sustain tech infrastructure and to continue to drive digital efforts forward. Dice and ClearanceJobs, our tech focused career marketplaces that attract the highest quality tech professionals and enable employers to find and engage these skilled candidates as they look to fill the millions of new technology jobs flowing into the U.S. economy. Both sites use our proprietary skills mapping technology that was recently approved for patent U.S. Patent Office. Our skills mapping algorithms, allow our clients to find and engage with the best tech candidates for their open positions and provide a substantial competitive advantage for both Dice and CJ. Unlike generalist career sites, we are solely focused on serving the technology market where candidates are measured on the technology skills that they have acquired over their career and not job titles. Now, let me dig into both of our brands performance during the quarter and where we see them heading. Let’s start with Dice, which addresses our largest market opportunity. Our bookings for Dice increased 32% year-over-year in the first quarter and our revenue renewal rate continued to grow, coming in at 104%. All this resulted in our Dice revenue for the quarter increasing 29% year-over-year. Dice has two opportunities for expansion in front of it, as it directly serves the growing market demand for technologists. Dice commercial account is our largest whitespace opportunity, with tens of thousands of companies in the U.S. looking to hire high quality tech professionals. These are companies like Bloomberg, Blue Shield of California, Capital One, Disney, TIAA, CREF and Walgreens that are all using our tool internally to find and engage the right technologists to fuel their digital strategies. These tens of thousands of companies embarking on digital initiatives are an ideal target for our commercial accounts team to sell the Dice career marketplace. The staffing and recruiting industry is the second growth opportunity for Dice with over 18,000 staffing and recruiting firms operating in the United States. Today, we service approximately 4000 of them, leaving us with a significant opportunity to expand in this client segment as well. Combined, we believe that these two clients segments have a total addressable market value of over $1 billion annually. To capitalize on these two large growth opportunities, we continue to add incremental new sales professionals during the quarter. We also continue to increase our marketing spend to generate more qualified leads to fuel our expanding new business teams. In the first quarter, our new business teams were successful in converting leads to new clients. As a result, our Dice customer base grew sequentially for the fifth consecutive quarter, adding 245 net new clients. In addition to successfully driving new bookings through our improved sales and marketing efforts, we are also focused on generating increased brand awareness to further expand our technologists’ community by increasing the size of our Dice brand advertising campaign. With this campaign, we continue to see higher reach and engagement metrics on Dice, adding 45,000 new Dice members each month to our growing community of technologists. Now let’s talk about ClearanceJobs. Our bookings for CJ increased 31% year-over-year in the first quarter and our revenue renewal rate remained strong coming in at 104%. All of this resulted in our CJ revenue for the quarter increasing 27% year-over-year. CJ also reached record new candidate registrations, record candidate profiles, record posted jobs and record messages sent on the platform during the quarter. As with Dice, we also have two growth opportunities for CJ. The first is the government contractor market, where we currently have approximately 1,800 contractor clients, but know that there are thousands more that can use our services. CJ’s second opportunity for expansion is selling its subscription offering directly to the multitude of U.S. Government agencies that are in need of highly qualified technologists and are competing against the private sector for these candidates. We continue to advance our relationships with both government contractors and U.S. Government agencies, adding several new clients during the quarter, including the National Reconnaissance Office, Aerojet Rocketdyne, Honeywell, Iron Mountain, LexisNexis Special Services and Spirit AeroSystems. CJ sales and marketing teams continue to execute on their growth plans to further penetrate these two market opportunities, as evidenced by their solid bookings growth during the quarter. CJ was successful in adding 50 net new clients in the first quarter. As we look ahead, we will continue to execute on our growth plan by increasing our investment in our proven sales and marketing engine, as we look to capitalize on the growing market for tech professionals. We have large addressable markets for both Dice and CJ, and as I said before, we are just scratching the surface. You will see a constant increase in our sales team capacity this year, as we take advantage of our opportunities for sustained double-digit revenue growth. We will also continue to focus on creating the industry-leading tools for matching employers with the highest quality tech professionals. A great example of this continued an innovation is our recent lease of time zone based candidate search. As over 35% of our job postings are now remote location allowed. This is a key feature our clients have requested and we are the only career site that delivers this capability. To summarize, we believe that with our unique marketplace capabilities and tech focus, DHI Group can capitalize on the millions of new technologist jobs being created over the next several years by selling our subscription-based offering to the companies, government agencies and staffing and recruiting firms that will be looking to fill these jobs. With that, let me turn the call over to Kevin, who will take you through our financials and then we’ll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art, and good afternoon, everyone. Let me go into a bit more detail on our first quarter financial results. We reported total revenue of $34.3 million, which was up 2% sequentially and 29% year-over-year. Total bookings for the quarter were $50.7 million, up 32% year-over-year. Dice revenue was $24.6 million, up 1% sequentially and 29% year-over-year. Dice bookings were $36.8 million, up 32% year-over-year. We ended the quarter with 6,249 Dice recruitment package customers, which is up 4% sequentially and up 20% year-over-year. Our average annual revenue for Dice recruitment package customer was $14,100. This is up slightly both sequentially and year-over-year, approximately 90% of Dice revenues recurring and comes from annual or multiyear contracts. Our Dice revenue renewal rate during the quarter grew -- was 104%, up 13 percentage points from 91% last quarter and up 22 percentage points year-over-year. Our Dice customer count renewal rate was 86% consistent with the last quarter and up 15 percentage points from the prior year. These metrics continue to demonstrate the strength of the tech job market and the value of the Dice products in recruiting technology professionals. ClearanceJobs revenue was $9.7 million, which was up 3% sequentially and up 27% year-over-year. Bookings for CJ were $13.9 million, up 31% year-over-year. We ended the first quarter with 1,928 CJ recruitment package customers, which is up 3% sequentially and up 10% year-over-year. Our average annual revenue for CJ recruitment package customer was $18,400, up 3% sequentially and up 12% year-over-year. Similar to Dice approximately 90% of CJ revenue is a recurring and comes from annual contracts. Our CJ revenue renewal rate was 104% for the first quarter, down 1-percentage-point from 105% last quarter and up 15 percentage points year-over-year. Our CJ customer count renewal rate was 87%, down 1-percentage-point from last quarter and up 5 percentage points from prior year. These strong renewal rates demonstrate the continued value CJ delivers in the recruitment of cleared professionals. Turning to operating expenses. First quarter operating expenses were $33.7 million, compared to $26.9 million in the year ago quarter. As Art mentioned, we are continuing to invest in the sales team and are increasing our marketing spend. The increase in marketing spend and the ongoing strong performance of our digital marketing campaigns continue to drive increases in marketing qualified leads to support our expanding new business teams. The company realized an income tax benefit for the quarter of $800,000 on income before tax of $500,000. Our effective tax rate differed from our expected rate of 25% due primarily to an $800,000 benefit from the vesting of shares associated with our equity-based compensation program. We recorded income from continuing operations for the first quarter of $1.3 million or $0.03 per diluted share, compared to income from continuing operations of $2 million or $0.04 per diluted share a year ago. Adjusted diluted earnings per share for the current quarter was $0.01 compared to zero cents for the prior year quarter. Diluted shares outstanding for the current quarter were 47.2 million shares, compared to 48.6 million shares in the prior year quarter. Adjusted EBITDA for the first quarter was $6.9 million, a margin of 20%, compared to 5.6 million and a margin of 21% in the first quarter a year ago. We generated $9.2 million of operating cash flow in the first quarter, compared to $6.4 million in the prior year quarter. The higher cash flow was driven by higher billings and collections associated with the increase in bookings. From a liquidity perspective, at the end of the quarter, we had $5 million in cash. We had total debt outstanding of $33 million under our $90 million revolver. Debt increased $10 million due to seasonal payments for bonuses and share repurchases to cover tax withholdings on employees shares that vested during the quarter. Together, these items totaled $9.3 million, which is consistent with our total debt increase. Deferred revenue at the end of the quarter was $56.8 million, up 27% from the first quarter of last year. Our total committed contract backlog was $106 million, which was up 50% from the prior year. Short-term backlog was $87.8 million, an increase of $25.2 million or 40% year-over-year. Long-term backlog that is revenue to be recognized in 13 or more months was $18.2 million at the end of the quarter, an increase of 124% from the prior year. During the quarter under our share repurchase program, we purchased approximately 1.3 million shares for $7.5 million, an average price of $5.78 per share. As a reminder, our current share buyback program includes a $15 million authorization through February of 2023. $13.1 million is available under the program at the end of the quarter. In addition, we purchased 800,000 shares for $4.2 million to cover income tax withholdings associated with the vesting of employee shares. Looking ahead, based on our strong bookings performance, we expect second quarter revenue to be $35 million to $36 million, a growth rate of 22% to 25% year-over-year. For the full year, we expect total revenue to be $144 million to $146 million, a growth rate of 20% to 22% over the prior year. From a profitability perspective, we will continue to operate the business to adjusted EBITDA margins at or near 20% throughout the year, as we balance our strong financial performance with increased sales and marketing investment to drive continued long-term revenue growth. We remain excited by the positive momentum we are seeing in bookings and believe our investment in sales and marketing will continue to drive strong sustainable double-digit bookings and revenue growth. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Kevin. I’d like to close by once again thanking all of our employees for their hard work this quarter. Your determination and dedication to executing our growth plan is paying off. It is a pleasure to be part of such a great team. With that, we’re happy to take your questions.
Operator: Thank you. [Operator Instructions] And the first question will come from Eric Martinuzzi with Lake Street. Please go ahead.
Eric Martinuzzi: Yeah. Congratulations on the quarter and also congratulations on the upward revision to the guidance. That’s where I wanted to start, the $144 million to $146 million for the year, that 20% to 22% growth, pretty big step-up versus the prior guide for the double-digit expansion. What is the key driver there? Is the -- I would imagine it’s on the Dice side, but is that the commercial accounts really taking off and getting home?
Art Zeile: So, I’ll tell you that, I would say that the general reason for our competence is our past bookings, the bookings, obviously, translating to revenue, but we have seen a very, very positive momentum in that commercial accounts, new business division. So that’s a powerful lever that we’re using for the remainder of this year. But Kevin, do you have any additional thoughts that you wanted to provide?
Kevin Bostick: I think it’s a combination of strong renewal rates and strong new business performance. It’s a little bit of all of that. Coming together, I think you saw that, Eric, in the metrics that we just disclosed. And I think the fact that we’ve got strong backlog that I alluded to, the contracted backlog gives us comfort that, that we will be at that $144 million to $146 million for the year.
Eric Martinuzzi: Okay. And then a little bit of a longer term question. I know, we’re barely into 2022 here, but you’re targeting the 20% adjusted EBITDA margin for 2022 and I get that you’re -- you want to invest the upside into sales and marketing. But how should we think about kind of a three-year plus outlook and where you expect the profits of the business to go?
Art Zeile: Yeah. Eric, we think that the model we have today is consistent with other SaaS and software models, that if we look out a handful of years, I’m not sure if it’s exactly four, exactly three and a half or when that we should be seeing margins at or near that 30% range. We are not completely focused on that in the near-term, because we continue to have the ability to invest in sales and marketing to drive that topline growth. But we do think the economics, as I said, should be consistent with other SaaS models that that are in that 30% range over the next three years to four years.
Eric Martinuzzi: Okay. And then you -- you’re investing in sales reps. I know you’re finished out 2021 with around 90 in across, I think, it was, I can’t remember if that was across both sides of the business or just the Dice side of the business. But you’re going to add, I want to say roughly 20% of that number, where are we in the hiring at this stage of the year?
Art Zeile: We’re exactly where we want to be. We actually hired a total of, I believe, six or seven new business reps in the first quarter and we would essentially maintain that pace for the remainder of this year. And as I’ve described in the past, for us, it’s important to bring these sales reps on in a measured way, because we have to support them, we support them with these marketing qualified leads. So every time we bring on a new business representative, we make sure that our marketing qualified lead budget actually expands. And then we also have a very supportive training department that requires them to go through approximately five months to six months of training. So we want to make sure that we do that in a measured way. So, again, you’re going to see that same pace of hiring for the remainder of this year. In fact, as I was indicating, you can go to our careers page at any time at DHI Group and see the positions that we have available.
Eric Martinuzzi: Okay. And then just looking back on Q1, the mix between the kind of the recurring revenues and the less the non-recurring revenues, anything unusual to point out, are we still talking about a 90-10 mix?
Kevin Bostick: Yeah. It’s pretty much a 90-10 mix. We’re seeing that consistently across both businesses and within each of the segments as well within Dice.
Eric Martinuzzi: Okay. Congrats again on the quarter and the Outlook. Thanks for taking my questions.
Art Zeile: Really appreciate it, Eric. Thanks.
Kevin Bostick: Thank you.
Art Zeile: Yeah.
Operator: And the next question is from Zach Cummins from B. Riley. Please go ahead.
Zach Cummins: Yeah. Hi, Art and Kevin. Thanks for taking my questions and congrats on the strong results. Art, can you talk about just the success of the investments that you’ve seen thus far on both adding sales headcount and on the marketing side of it with some of your digital marketing campaigns. I mean, talk about what investments were successful here in Q1 and which areas that you’re planning to really put the pedal to the metal here in the upcoming quarters to take advantage of this strong demand environment?
Art Zeile: All -- those are great questions. And first and foremost, I’d say that, the big investment that we had in marketing was for our brand awareness campaigns. And those are campaigns that are geared towards technologists that are less than 10 years into their career. And what we saw as a result of that was a 50% lift in traffic to the Dice site. So when I think about our business model, ultimately, being a marketplace and having to have balance, as we bring on more clients, we have to have more technologists, because that’s what they want. That’s why they’re there for that intended purpose to engage with technologists. We really had a lot of success with these marketing campaigns. I would also say that we delivered ClearanceJobs churn zero implementation in this first quarter. And that’s a platform that gives us a lot of visibility into individual client experience. We rolled that out in the Dice platform in late 2020 and we then essentially embraced it and made sure that everybody understood how to use it last year on Dice, because we saw such a success in terms of our revenue renewal rates and all aspects of our KPIs with customer engagement, we decided we’re going to bring that same system to ClearanceJobs and I think that that’s going to be a very powerful tool for the future for ClearanceJobs. Now, when you ask, where are we investing further? I would say that as we bring onboard new sales reps, they’re largely going to the Clearance -- to the Dice commercial accounts new business teams, because we really believe we have the largest whitespace opportunity, the largest total addressable market there. In fact, we’ve done a study that indicates that there are over 80,000 clients that could use the Dice platform internally and so that’s the very large area that we’re essentially putting our bet on.
Zach Cummins: Understood. That’s helpful. And Art, can you talk about the current demand environment? I mean, with the escalating conflict in Ukraine, have you seen any sort of incremental demand for ClearanceJobs in kind of recent months?
Art Zeile: Yes. Yes, I would say that, what we know about ClearanceJobs, when we think about its performance, historically, it is very highly correlated to the defense budget of the United States. And we know that in wartime environments, defense budgets go up, and in fact, you can also look at the fact that the Biden and his -- Biden administration did propose another very large increase for the fiscal 2023 defense budget. And so we believe that that will essentially benefit the platform, because there’s going to be more projects, and therefore, a need for more cleared professionals. And we’re already seeing the evidence of that in the discussions that we’re having with clients today.
Zach Cummins: Understood. And final question for me, I know the demand for tech talent is really never probably been close to the sort of levels that we’ve seen here in kind of recent months. But I mean, with the potential economic risks in a more challenging macro environment. I mean, how are you thinking about the overall demand for tech talent versus maybe the broader job economy?
Art Zeile: Well, as I indicated in my remarks, what we’ve seen is an acceleration of digital strategies and digital planning across all businesses. And granted, in a recessionary environment, if that does, in fact, emerge, people would probably restrict their hiring strategies. But we feel like there is a countervailing trend towards a need for these technologists to complete these projects, because they’re so vital to the ultimate success of businesses everywhere.
Zach Cummins: Understood. Well, thanks for taking my questions and congrats again on the strong results.
Art Zeile: Really appreciate it, Zach. Thank you.
Operator: [Operator Instructions] The next question is from Kevin Liu with Kevin Liu & Company. Please go ahead.
Kevin Liu: Hey. Good afternoon, guys. Let me add my congrats on the strong results and outlook as well. First question I had here was just, very impressive to see, both Dice and ClearanceJobs get that renewal rate over 100% here. Can you talk a little bit about how much of that is just kind of extension amongst your existing clients versus some pricing levers you have to pull?
Art Zeile: So, Kevin, do you happen to know what the mix is between adding licenses, for example, to individual clients versus what we call non-core services versus pricing?
Kevin Liu: I don’t have that offhand. I mean, what we are seeing though, is an increase in the amount it leans towards seats. I don’t have the specific ratio between seats and pricing, we do build in roughly a -- anywhere from a 4% to 9% escalator on auto renewals, Kevin. So that is part of it. But we are starting to see though also an increase in demand for our products. We are not specifically seeing existing, recurring revenue, licensed customers buying as an example, more career events or more sourcing services. So it really does come down to expanding their existing core -- existing core services that they are buying.
Kevin Liu: Got it. That’s helpful. And really, I think a lot of folks would have been happy to see you guys kind of sustain the 90% plus revenue renewal. Right now it’s kind of north of 100%. Maybe just talk about whether you think this sort of rate is sustainable as you move forward from here or do you think it’s more just kind of a product of the tight labor market?
Art Zeile: So I want to say that. Go ahead, Kevin.
Kevin Bostick: Go ahead, Art. Sorry.
Art Zeile: No. I was going to say that, we think that we could be in the 90s in terms of our revenue renewal rate for both Dice and ClearanceJobs. As to whether or not we can sustain over 100%. I think that one quarter doesn’t necessarily make a trend just yet. So we’re still stating that we feel like a successful SaaS based business in the 90s is one that can grow at that double-digit and 20% plus range very successfully.
Kevin Liu: Great. And then maybe just in terms of your conversations with customers, right now, obviously, you guys have made a lot of investments into both platforms. But wondering if there’s anything else that they’d want to see either acquire or build internally to kind of further help them acquire and onboard talent more quickly?
Art Zeile: Sure. I’d say that the most powerful theme that we’re seeing is the need for corporate branding. So essentially having the ability to tell the story about the company’s mission, its values, its culture. What we’re finding in this kind of environment, where in March, the technology sector unemployment rate was 1.3%. Is that technologists, these candidates, not only can they get the salary or the compensation that they want, but they can also work for the kind of company that they respect and the culture aspects of that company become a dominant part of the decision making process. So we want to give our clients the tools to essentially engage with these candidates on the platform, off the platform. But we also want the ability to allow them to tell their stories and why they have a mission that that particular candidate should be a part of.
Kevin Liu: Okay. Great. That’s helpful. I appreciate you taking the questions and good luck here in the second quarter.
Art Zeile: Absolutely. Thank you very much, Kevin.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Art Zeile for any closing remarks.
Art Zeile: Thank you very much, everyone, for your interest in DHI Group. Thanks for joining our call today and have a great day.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.